Operator: Thank you for standing by. My name is Kathleen and I will be your conference operator today. At this time, I would like to welcome everyone to the Seer Incorporated Second Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Carrie Mendivil, Investor Relations. Please go ahead.
Carrie Mendivil: Thank you. Earlier today, Seer released financial results for the quarter ended June 30, 2024. If you have not received this news release, or if you'd like to be added to the company's distribution list, please send an email to investor@seer.bio. Joining me today from Seer is Omid Farokhzad, Chief Executive Officer and Chair; and David Horn, Chief Financial Officer and President. Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal security flaws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled forward-looking statements in the press release Seer issued today. For a more complete list and description, please see the risk factors section of the company's quarterly report on Form 10-Q for the quarter ended June 30, 2024, and in its other filings of the Securities and Exchange Commission. Except as required by law, Seer disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events, or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast August 8, 2024. With that, I'd like to turn the call over to Omid.
Omid Farokhzad: Thanks, Carrie, and thank you, everyone, for joining us this afternoon. I will begin our call today by providing updates on our business, and I will then turn the call over to David to provide more details on our financial results for the second quarter of 2024 and our outlook for the year. Second quarter revenue came in at $3.1 million as we continue to navigate a challenging macro environment for the adoption of novel technology. We're continuing to focus our resources on enhancing access to the Proteograph product suite and assisting our customers to generate novel data while reducing our operating cash burn to preserve our strong balance sheet with approximately $344 million in cash, cash equivalents, and investments. Starting with enhancing access. During the second quarter, we significantly expanded our sales and marketing team, including the addition of multiple new regional business managers. While these new team members are ramping up, we're already seeing their contributions and uptick in new customer interest and lead generation. We're excited about the talented individuals that have come on board to capture the large opportunity in proteomics ahead. We continue to serve our customers through the Seer Technology Access Center, or STAC, which allows for the Proteograph user to run samples in their own lab and have Seer run the mass spec, or alternatively, provide end-to-end study services from sample to data. We continue to see strong demand for STAC, which is an important accelerator in the accessibility of unbiased proteomics data, given elongated sales cycles for CapEx resulting from a conservative funding environment. Increased accessibility to the Proteograph will continue to catalyze the generation of third-party data and publications, further highlighting the transformative potential of our technology and facilitating adoption. In line with this focus on generating data to catalyze broader adoption, we continue to prioritize running large sample cohorts for key collaborators, providing STAC services at lower price points. We expect these customers will present and publish their studies shortly, further reinforcing the differentiated value proposition of the Proteograph product suite and serve as key reference to drive continued adoption of our technology. On our last earning call, we announced that given the success we have seen with the STAC in the U.S., we were planning to expand into Europe with the launch of a STAC lab in Germany. I'm excited to share that the lab was opened in June and is now operational. This expansion will give researchers in Europe the ability to unlock biological insights through comprehensive, deep, unbiased proteomics research. We look forward to continuing to address a major unmet need for researchers across the region. We expect a subset of our STAC customers in the U.S. and Europe will choose to bring our platform in-house depending on their utilization volume or use preferences once they get to see the value of biological insights generated on the Proteograph. Some customers may prefer to continue working with STAC or one of our global centers of excellence in service capacity. We have also seen customers who have the Proteograph in-house use our STAC or work with our COE as they manage their own internal resources during periods of surge. Our goal is simply to provide the most cost-effective, highest quality data for our customers, and we imagine this happening through a combination of STAC or direct purchase of the Proteograph. In addition, the Strategic Instrument Placement Program, or SIPP, has been an important catalyst for adoption as we have previously seen multiple prior SIPP customers purchase instruments. In April, we launched our 2024 Seer Insights grand program aimed to support innovative and collaborative researchers who require access to comprehensive, unbiased proteomics insights to advance scientific discovery. We saw great interest in the program and more than doubled our goal for number of applicants. We gave awards to six recipients to support their studies leveraging our cutting-edge technology and expertise from sample preparation to data analysis. These included awards to support four pilot studies of 40 samples each and two proof-of-concept studies of 160 samples each. These researchers are part of leading academic and government labs in the U.S. and Canada, and we look forward to facilitating novel insights across the oncology, cardiometabolics, and neurology fields. We see these three therapeutic areas as key areas of growth for the Proteograph product suite. We will complete the studies in our STAC and grantees will have an opportunity to present their findings at a prominent scientific conference in 2025. Importantly, we believe this program drove increased awareness and demand for our technology. Now moving on to the validation of our technology. To date, we have 10 preprints and 11 peer-reviewed publications showcasing the value of Seer technology. These are important customer publications and include multiple papers in Nature and Nature Communications, with several more to be published in leading journals in the coming months. With these publications, we have seen an increase in the number and nature of conversations we're having with potential customers. Since our last earning call, we were excited to see three more manuscripts from Chris Mason's lab at Weill Cornell Medicine go through the peer-review process and be published in high-impact journals. These publications further exemplify how the Proteograph provides differentiated insights into spaceflight proteomic alteration for precision medicine and biomarker discovery. The first two manuscripts published in Nature highlight and discuss data and a sample repository for clinical cellular and multi-omic profiles from multiple space missions. The first of its kind data resource, which includes plasma proteomic data generated from the Proteograph workflow, offers the life sciences and aerospace communities information that can be further leveraged to study aerospace-associated physiological changes. The third manuscript published in Nature Communications describes a study that Seer scientists also collaborated on where the researchers profiled the secretome from astronauts of the first all-civilian spaceflight mission, the SpaceX Inspiration 4, using multiple methods, including proteomic profiling from plasma using a Proteograph workflow. Additionally, the scientists evaluated brain-associated changes and changes in the blood-brain barrier for spaceflight mice. These papers highlight the ability of Seer’s technology to provide unbiased insights into the differential expression of proteins that may represent dysregulated processes. Using the Proteograph, the researchers were able to pinpoint protein changes in plasma never before possible, which could offer new avenues of therapeutic and biomarker discovery. In the future, this data can be used to monitor additional physiological changes over time, to then create focused and personalized countermeasures. Additionally, in June, PrognomiQ completed the largest and deepest unbiased multi-omics plasma biomarker study to date, utilizing the combination of the Proteograph product suite and the thermoscientific orbitrap-astral mass spectrometer for their proteomic analysis. This pioneering research involved a multi-cancer case control cohort of 2,840 subjects, achieving the detection of over 13,000 protein groups in plasma across this study, with an average of over 8,200 protein groups in plasma per sample. Importantly, the researchers were able to find putative novel biomarkers for early detection of lung cancer. This study represents a significant milestone in cancer biomarker research, demonstrating the value of efficiently and rapidly conducting deep unbiased plasma proteomics studies at scale. PrognomiQ's findings highlight an unprecedented depth and sensitivity in proteomics, unlocking significant biological insights for early cancer detection. PrognomiQ will use these results to develop an LDT for the early detection of lung cancer. In addition, we continuously see customers submitting manuscripts to preprint servers, which is commonly the first step to make a study publicly available, while the manuscript is undergoing peer review process for publication. In June, researchers from Weill Cornell Medicine, Qatar, and Harvard Medical School and Brigham Women's Hospital, in collaboration with Seer and True Diagnostics, submitted a manuscript to BioRxiv. This manuscript, currently under review, contains data from a genome-wide associated study, also called GWAS, of protein quantitative trait loci, or PQTLs, that represent the first mass spectrometry-based PQTL study of such scale and proteome depth. This study leverages the Proteograph to compare mass spectrometry-derived PQTL identification to those PQTLs identified with affinity-based proteomic technologies. Researchers developed a novel data analysis protocol to account for genetic variants within the analyzed peptide to reduce epitope effects, which are the false identifications of PQTLs resulting from genetic variants within the protein. These “epitope effects” cause a downward or upward change in the measured protein level, but not in the true protein level, and potentially skew analysis and resulting in false conclusions. Using the Proteograph product suite, the researchers demonstrated the technology's capability to identify and replicate PQTLs that have not been previously identified in much larger affinity-based GWAS studies. In addition, the researchers demonstrated the technology's ability to differentiate between putative epitope effects and true PQTLs in previous large-scale GWAS studies performed by affinity-based proteomic technologies, and to estimate that a large fraction of previously identified PQTLs are, in fact, putative epitope-induced artifacts. This is an important paper for the field of proteomics and proteogenomics for three reasons. First, it is the first time a proof-of-principle large-scale PQTL study was undertaken using deep unbiased proteomics with mass spectrometry, and the established methodology in the study forms the basis for much larger future studies. Second, this study demonstrates the ability of mass spectrometry-based proteomics to confirm previously identified PQTLs and also to mark a subset of previous PQTLs as potential artifacts induced by epitope effects, which are subject to further investigation. And third, proteogenomic customers now have the option of pursuing deep and large-scale PQTL studies using mass spectrometry, whereas previously they were limited to targeted affinity-based approaches as the only deep and scalable alternatives. Deep and unbiased proteomic approaches deployed at large scale can potentially unlock novel biological insights that could not be uncovered by targeted affinity-based technologies. The customer studies I highlighted above are possible because of the attributes that are uniquely provided by the Proteograph product suite, including; first, depth of coverage that is enabled by our assay sensitivity. Second, scale of studies that is enabled by our assay's throughput and automation. Third, the robustness that is enabled by our proprietary engineered nanoparticles that Seer has pioneered. And fourth, speed of data analysis that is enabled by our cloud-based Proteograph analysis suite software. While our focus this year has been on enhancing access to our technology and enabling customers to produce data, we also made enhancements to our technology and recently launched a new version of our Proteograph analysis suite to make the interface more intuitive, speed up and tailor analysis results for customers, and improve some functionality. We expect this new version will increase the overall adoption and enhance data analysis workflow. Initial feedback on the updated interface has been very positive. At Seer, we invent and develop products for deep unbiased proteomics at scale, and we believe that our commercial solution is a step function above other commercial products. I'd like to take a moment to thank our incredible team for their work and efforts to improve the solutions we provide our customers. Before I turn the call over to David, I wanted to reiterate that I remain incredibly bullish on the potential of our technology to transform our understanding of the proteome. Proteograph data produced and presented by our customers is truly outstanding, and we fundamentally believe in the long-term value of our differentiated technology. Looking ahead, we will continue to execute against our core strategies of driving evidence and publications, continuing to enhance access to the Proteograph, innovate with our products, and expand our applications. And I remain confident that our technology will help unlock the gateway to the proteome. With that, I will now turn the call over to David.
David Horn: Thanks, Omid. Total revenue for the second quarter of 2024 was $3.1 million, representing a decrease of 23% compared to $4 million in the second quarter of 2023. It was primarily due to a decrease in related party and grant revenue. Revenue recognized primarily consisted of sales of the Proteograph SP-100 instrument, consumable kits, and service revenue, of which $583,000 was attributed to related parties. Product revenue for the second quarter of 2024 was $2.2 million, including $420,000 of related party revenue, and consisted of sales of SP-100 instruments and consumable kits. During the second quarter, we continued to see pressure on CapEx budgets and elongated sales cycles for the outright purchase of new instrumentation. Excluding related party revenue, product revenue grew year-over-year, primarily driven by an increase in consumable kit sales. Service revenue was $845,000 in the second quarter of 2024, including $163,000 of related party revenue, and primarily consisted of revenue related to STAC service projects. While service revenue grew sequentially and year-over-year driven by STAC in the second quarter, we continued to prioritize running projects for key strategic studies that will result in additional presentations and publications in the near term, but were conducted at a lower price point than our typical STAC service projects. This had the effect of lowering the amount of service revenue that was realized in the second quarter. Grant and other revenue was $46,000 for the second quarter of 2024, and consisted of lease and shipping revenue. Total gross profit was $1.7 million for the second quarter of 2024, representing a gross margin of 56%, compared to $2.3 million in the second quarter of 2023, representing a gross margin of 57%. Gross margins were driven by a higher percentage of consumable and service sales in the second quarter relative to instrument sales. We continue to expect variability in our gross margin on a quarter-by-quarter basis, since the proportion of instrument consumable and service revenue will fluctuate for any given quarter. Total operating expenses for the second quarter of 2024 were $28.8 million, including $7.7 million of stock-based compensation, a decrease of 5% compared to the $30.2 million, including $9.8 million of stock-based compensation in the second quarter of 2023. Research and development expenses for the second quarter of 2024 were $12.7 million, a decrease of 10% compared to $14.1 million in the second quarter of 2023. The decrease in R&D expenses was primarily due to a decrease in employee and stock-based compensation expenses and a decrease in laboratory expenses. Selling general and administrative expenses for the second quarter of 2024 were $16.1 million, in line with the prior period. Net loss for the second quarter of 2024 was $22.9 million, compared to $23.4 million in the second quarter of 2023. We ended the quarter with approximately $344.6 million in cash, cash equivalents, and investments. Free cash flow loss was approximately $22.5 million for the six months ended June 30, 2024. And as previously stated, we estimate that our 2024 free cash flow loss will be less than our free cash flow loss in 2023. Turning to our outlook for the year, while we continue to see healthy interest in the Proteograph product suite and in the number of opportunities we are pursuing, we are experiencing elongated sales cycles due to continued funding and macroeconomic challenges. This dynamic, when coupled with our results from the first half of 2024, leads us to believe that there will be a slower recovery in the second half of the year than contemplated in our previous guidance. As such, we now expect revenue to be in the range of $13 million to $15 million for 2024, compared to our previous guidance of $16 million to $18 million. As previously announced, our Board of Directors authorized a $25 million share repurchase program in May of this year. Under this program, we repurchased approximately $3.7 million of Seer Class A common stock at an average cost of $1.84 per share during the second quarter. As of June 30, we had approximately $21.3 million in authorization remaining under the share repurchase program. At this point, I'd like to turn the call back to Omid for closing comments.
Omid Farokhzad: Thank you, David. While we continue to navigate a challenging macroenvironment for the adoption of novel technology, I have never been more confident in the power of our technology to change the trajectory of proteomics research. We remain focused on enhancing access to the Proteograph product suite and assisting our customers to generate novel data in order to capture the huge opportunity ahead. I'm grateful to our team for their hard work and dedication, and I look forward to keeping you updated on our progress. With that, we will now open it up for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of Yuko Oku of Morgan Stanley. Please go ahead.
Unidentified Analyst: Hi, this is Jason on for Yuko. Thank you for taking our questions. So, first, maybe just to start off. So, you noted seeing some elongated sales cycles. Could you comment on the length of the sales cycle that you saw in the second quarter? And how does the length compare to what you would consider to be a normalized sales cycle? How did this trend over the quarter, and in particular in June and July? Did it worsen? Did it stabilize? So, any comment on the length and trend you're seeing would be appreciated. Thank you.
David Horn: Sure. Thanks, Jason. It's David. Look, in terms of the overall sales cycle, as I said in the comments, we have a good pipeline of opportunities. And certainly, we expected to see more of those come to fruition in the second quarter than we did. So in terms of what it's doing to the sales cycle, I think it's just pushing it out. We hope it moves out a quarter or maybe two. It's really around budgets and budget cycles for folks. I think it just reflects more broadly into what we're seeing in terms of constrained capital budgets around instrumentation and just people not having the dollars right now to purchase it, especially around novel technologies such as the Proteograph.
Unidentified Analyst: Got it. Thank you for sharing that. Then maybe just as a follow-up question, could you provide some color on your confidence and visibility into the revenue ramp in 2H? It seems at midpoint of your new guidance, you're implying about 56% revenue in the second half. So, what are the key underlying assumptions around the acceleration and the top line in 2H? Is it purely based on forecasts, or do you have a backlog, or are you baking any budget flush dynamics in 4Qs? Any color on your confidence and visibility into the second half ramp would be appreciated. Thank you.
David Horn: We are feeling pretty good about the second half ramp, and it really comes down to a number of factors that you mentioned. One, we do have, obviously, the pipeline. Interestingly, from the publications that we have out there now, and we have a number of those out there now that have been published in the first and second quarter, we are having more interest, more conversations, more people looking at doing some potentially larger studies. That's what gives us confidence that in the second half we will continue to see an uptick. That said, we continue to see STAC doing quite well, and so we're pretty confident that the second half and our revised guidance is we feel comfortable with.
Unidentified Analyst: Got it. Thank you for sharing that. And then, maybe just as a final question, so with the launch of STAC in Germany, I know it's early days, but could you provide some color around the traction it has generated so far? Could you talk a little bit about the market opportunity you see in Europe? How does the market opportunity for the Proteograph in Europe compare to the U.S.? Do you see the opportunity being larger than U.S., smaller, or more or less the same? Thank you.
Omid Farokhzad: Jason, Omid here. I mean, obviously, the STAC in U.S. was the right call for us for two reasons, kind of building up on the points that David made, in that there's been a CapEx constraint from the customers that we and just about everybody else is experiencing for novel technologies like the Proteograph. The STAC really lowered the barrier for customers to begin to experience Proteograph data. I expect a subset of those customers may choose to bring a Proteograph in-house. So, as you know, some customers prefer to work on a service basis anyway, and if they do, long-term, we don't want to be servicing those customers. We would ask them to work with our COEs. Now, that said, we weren't able to provide a similar type of support to our European customers, and that was the motivation to open the EU STAC in Germany. That site became operational in June. We are beginning to receive the first round of customer samples and processing those. I think the ratio in terms of the revenue that we expect from the Europe STAC versus U.S. STAC will probably be along the same lines that we're seeing in terms of sales between Europe and U.S., and so I think the service is going to basically follow the product revenue in terms of the percent of our revenue on a going forward basis. I look forward to giving you a bit more detail in terms of the EU STAC capacity and demand as we get clarity on it. It's the early days, so it's premature for me to comment on that.
Unidentified Analyst: I appreciate your time. Thank you, guys.
Operator: [Operator Instructions] Your next question comes from the line of Dan Brennan of TD Cowen. Please go ahead.
Unidentified Analyst: Hi, this is William in for Dan. My first question is you talked about some of those publications. How have these recent publications aided in your conversations with customers? How long should it ultimately take for a third-party publication to drive meaningful revenue inflation? If you could just maybe give me a timeline on that?
Omid Farokhzad: William, Omid here, and thank you for the question. Look, I think what drives demand for a product like the Proteograph is demonstration and validation of the differentiated biological insight that you uniquely get from the product, and that the value that product gives you is cost-effective and it's easy to use, etc. We obviously feel extremely bullish about the value proposition of the Proteograph, and we have since day one. What is fantastically rewarding to see is that that value proposition is becoming increasingly clear, probably to even a more dramatic level that I had expected, in the hands of our customers, meaning the types of studies that a customer is able to do and the kinds of biological insight that a customer is able to gain simply would not have been possible to do without the Proteograph. I'll give you two examples of that that make the point for me. One is, if you look at this study that PrognomiQ did in early detection of lungs, they investigated 2,800 subjects with lung cancer of various stages with comorbid controlled smokers that don't have cancers but are also healthy, non-smokers. The Proteograph allowed them to look at the proteome of those subjects deep to a tune of 8,500-9,000 proteins per subject. That allowed them to identify protein biomarkers for early detection that you could never do if you didn't use the Proteograph because you could either not go deep enough or you couldn't scale it to have done 2,800 subjects and both the depth and the scale was needed to achieve the data. The consequence of that was that they have now gotten the best-in-class early detection classifier for lungs that would not have been possible otherwise. And then if you look at a proteogenomics study from Karsten Suhre [ph], again the largest, deepest PQTL study ever done using an unbiased approach, and what Karsten's study showed is that when you look at a mass spec, a deep mass spec based PQTL study, because you're looking at multiple peptides across the length of the protein, it significantly decreases epitope effect, which is a major problem when you do similar types of studies with targeted approaches. And so you identify accurate PQTLs and you can actually identify previously falsely identified PQTLs. Again, that study would not have been possible if you couldn't have done the depth and the scale that is uniquely possible by the Proteograph. I think as customer data and the differentiated value proposition becomes evident, the customer adoption becomes a lot easier to do. We are already seeing the tone of the conversation, the level of interest, the incoming interest literally changing just in the past few months. If I look at the number of publications that have come out, in total there is 11 peer reviewed publications, but importantly 8 of them have come just in the last six months. So the velocity and the slope by which publications are coming is rapidly increasing as the customers are experiencing the Proteograph. And we're seeing our conversations with the prospective customers also changing as a reflection of these positive data coming from our customers.
Unidentified Analyst: Thank you so much for that answer. I can just ask one more question, maybe a briefer question. Within your sales funnel would it be possible to discuss the split just between pharma and academic customers and how your conversations are progressing with each of these customer classes?
David Horn: Yeah, that's a great question, William. Thank you. Dovetailing on what Omid just said, what's interesting about that is that we've seen a shift in the pipeline, whereas our revenue to date is about 60% commercial, 48% academic. That is actually flipped for the pipeline. And as you see, the pipeline's about 60% academic, 40% commercial in terms of opportunities. And I think that's a function of these publications coming out and the academics taking notice, starting to apply for grant funding to get funding for the technology. It's really encouraging that while the commercial folks have been quicker to move just because they have more budget flexibility to act if they want to, the academics have shown a lot of interest. And we're seeing that reflected in our pipeline of opportunities.
Unidentified Analyst: Thank you very much.
Operator: [Operator Instructions] As there are no further questions at this time, that concludes our Q&A session and today's call. Thank you everyone for joining. You may now disconnect.